Operator: Hello and thank you for standing by for Tuniu’s Second Quarter 2015 Earnings Conference Call. At this time, all participants are in listen-only mode. After management’s prepared remarks, there will be a question-and-answer session. Today’s conference call is being recorded. [Operator Instructions] I would now like to turn the meeting over to your host for today’s conference call, Senior Director of Investor Relations and Strategic Investment, Maria Xin.
Maria Xin: Thank you and welcome to our second quarter 2015 earnings conference call. Joining me on the call today are Donald Yu, Co-founder, Chairman and Executive Officer; Alex Yan, Co-founder, President and Chief Operating Officer; and Conor Yang, Chief Financial Officer. For today’s agenda, management will discuss business updates, operation highlights and financial performance for the second quarter of 2015. Before we continue, I refer you to our Safe Harbor statement in earnings press release which applies to this call as we will make forward-looking statements. Also this call includes discussions of certain non-GAAP financial measures. Please refer to our earnings release which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that unless otherwise stated, all the figures mentioned during this conference call are in RMB. I would now like to turn the call over to our Co-founder and Executive Officer, Donald Yu.
Donald Yu: Thanks Maria. Good day everyone. Welcome to our second quarter 2015 earnings conference call. I am pleased to report that we delivered excellent growth during the second quarter of 2015 with overall GMV and packaged tour gross bookings increasing by 126% and 115% year-over-year respectively. Total quarterly number of trips exceeded 1 million for the first time during the second quarter of 2015. Our growth rate continues to be significantly faster than both our industry peers and the overall travel industry. According to a third-party research report, Tuniu’s market-share in the online leisure travel industry was 20% during the second quarter of 2015, up from 14% during the same period last year. This record growth is a testament to our clear strategy and our ability to efficiently execute our strategic initiatives. In the second quarter, we continued to see strong triple digit growth in both domestic and overseas tours. As we continue to rapidly expand our business, we are increasingly diversifying our portfolio of travel products. During the recent incidence of the MERS virus in South Korea, we were able to minimize the impact on our business while maintaining positive customer experiences. We are confident that Tuniu’s diversified accretion, both in terms of region and travel product type, mitigates the risk that the company may face from future market-specific events. Now, I will walk through the key strategic initiatives that are central to the ongoing expansion of our market-share. This includes the strengthening of our regional product procurement and packaging capabilities, enhancing our direct procurement capabilities, increasing our brand recognition and improving our technology. First, I would like to discuss our regional expansion and the localization strategy. The expansion of our regional service center network has enabled Tuniu to access a progressively larger customer base and develop localized presence. The regional centers continue to serve as entry points for new local customers. During the second quarter of 2015, the regions covered by the 58 new regional centers that we opened in 2014 contributed to 13% of our total GMV. This is up from 3.3% during the second quarter of 2014. Starting from this year, we started to localize our product centers in Beijing, Shanghai and Guangzhou, which will serve as regional product procurement and packaging hub. With more resources on the ground in major cities, we will be able to gain better insight into the different needs of regional customers and harness more local travel resources to enrich our portfolio. We expect our regional expansion strategy to continue to be a key driver in increasing and diversifying our product offering, further cementing our -- one of our cost competitive advantages. Now, I would like to shift to our direct procurement products, which is an important part of our strategy in increasing the efficiency of our supply chain. Direct procurement of products which have softened supply chain growing [ph] mainly benefits to Tuniu and our customers. It enabled us to develop high quality products at competitive a price and it allowed us to better meet the online customers’ needs, which in turn improved our competitiveness versus peers. We are making great progress on this front. In the second quarter, our direct procurement products increased to 25% of our total gross merchandise value, a significant increase from 20% in the first quarter of 2015. Aside from our organic growth initiatives, we are also actively reviewing M&A opportunities throughout the entire travel supply chain that will facilitate Tuniu’s ability to direct provide travel resources to our customers. We are particularly focused on travel companies with a strong network of resources that can complement Tuniu’s direct procurement capabilities. We recently made an investment for the majority increase in Wuzhouxing, a leading outbound packaged tour wholesaler in China. Our investment in Wuzhouxing is an important step in our ongoing consolidation of China’s travel industry supply chain. The acquisition improves our access to resources in the upstream travel supply chain and helps us improve our capabilities in the direct procurement of high quality products. In the future, the two companies plan to closely integrate their operations to unlock synergy for additional growth and profitability. Next, I want to transition to our progress in brand development. The Tuniu brand has always been one of our most valued assets. And we remain committed to cementing our reputation as the leading leisure travel brand in China. Recently, Tuniu became the official travel sponsor for the popular reality TV show, The Voice of China. Throughout each episode, viewers across country can connect through the Tuniu app and interact with other users on the content of the show. Following the initial episode, our brand awareness, as measured through the Baidu search engine, increased significantly as we attract new growth our potential customers to our brand. And we continue to invest in new advertising and marketing campaigns to build our brand. We expect to continue gaining operating leverage in the future as our business continues to scale. Lastly, I want to touch on mobile and technology. In the second quarter of 2015, mobile contributed to 60% of the total orders from 55% in the previous quarter. It is clear that the trend towards mobile will continue. We are committed to [indiscernible] a half of the [indiscernible] making ongoing investments in our mobile travel-related platform, so that our customers have seamless booking experience on their mobile devices and we continue to improve customer stickiness. In addition to mobile, we continue to invest in our broader, technology infrastructure to improve user interface and support higher gross bookings. Due to targeted technology investments, our online rail ticketing, air ticketing, hotel booking, financial services and other complementary travel services have all expanded exponentially and have made notable contribution in improving user stickiness. We are confident that our continued investments in these areas will ensure Tuniu to expand its market share as the number one platform for China’s leisure travelers. Before I hand the caller over to Conor, I would like to provide a brief update on our partnership with JD.com. On August 18 Tuniu officially launched a product on JD.com’s travel channel. Our products were well received by JD.com customers during the first week. Given the results, we are confident that we will be able to leverage JD.com user traffic, big data capabilities, financial services and operational support to further penetrate the leisure travel market and reach even more Chinese consumers. I’ll now turn the call over to Conor Yang, our CFO for the financial highlights.
Conor Yang: Thank you, Donald. Hello everyone. We are pleased to deliver a strong quarter with net revenue exceeding, both our guidance and market expectation as we continue to gain market share within the rapidly growing China leisure travel market. Since our IPO in May 2014, we have stepped up our investment in the key areas of regional expansion, direct procurement, branding and technology. These key areas of investment have served as the fundamental pillars, supporting our accelerated growth. I will now walk you through our second quarter 2015 financial results in greater detail. Please note that all mandatory amounts are in RMB unless otherwise stated. You can find the U.S dollar equivalents of the numbers in our earnings release. Packaged tour gross bookings for the quarter increased by 115.2% year-over-year to RMB 2.1 billion, including 66% from outbound tours. Organized tours accounted for 71.5% of the overall gross booking in this quarter. For second quarter, net revenues were RMB 1,518.2 million, representing 111.9% year-over-year growth. Revenues from organized tours substantially all of which are recognized on gross basis were up 110.5% year-over-year to RMB 1,466.5 million and accounted for 96.6% of our total net revenues for the quarter. The increase was primarily due to the rapid growth in the demand for travel to certain international destinations, such as Europe; North America; and Japan; and for domestic tours. The number of trips for organized tours excluding local tours increased by 99.1% year-over-year to over 308,000 and the number of trips of local tours increased by 52.2% year-over-year to over 476,000. Revenues from self-guided tours, which are recognized on a net basis were up 109.4% year-over-year to RMB 34.6 million and accounted for 2.3% of our total net revenue. The increase was primarily due to the growth in travel to certain islands and domestic destinations. The number of trips for self-guided tours increased by 176.2%, year-over-year, to 226,000 in the second quarter of 2015. Other revenues which are recognized on a net basis were up 261.2% year-over-year to RMB 24.7 million, primarily due to an increase in revenues from tourist attraction tickets and service fees received from insurance companies and revenues from other travel related products. Gross margin for the second quarter of 2015 was 4.7% compared to 5.9% in the same period in 2014. The decline in gross margin was primarily due to Tuniu’s competitive pricing strategy and higher cost associated with new regional service centers and newly added tour advisors for the coming peak season. Operating expenses for the second quarter of 2015 were RMB 363.8 million, up 128.6% year-over-year, excluding share-based compensation and amortization of acquired intangible assets. Non-GAAP operating expenses were RMB 351.5 million, representing a year-over-year increase of 149.6%. Research and product development expenses for the second quarter of 2015 were RMB 61.5 million, up 186.5% year-over-year. The increase was primarily due to investments in new product lines and online technology related initiatives and the rise in technology and product development personnel related expenses. Sales and marketing expenses for the second quarter of 2015 were RMB231.7 million, up 139.1% year-over-year. The increase was primarily due to branding campaigns and advertisements for our mobile business expansion. General and administrative expenses were RMB 70.2 million in the second quarter of 2015, up 74.1% year-over-year. The increase was primarily due to an increase in the headcount of our administrative personnel as a result of our business expansion and an increase in the professional service fees associated with being a public company. Net loss attributable to ordinary shareholders was RMB 246.1 million in the second quarter of 2015. Non-GAAP net loss attributable to ordinary shareholders, which excluded share-based compensation expenses and amortization of acquired intangible assets, was RMB 233.5 million in the second quarter of 2015. As of June 2015, the company had cash, cash equivalents, restricted cash and short-term investments of RMB 4.4 billion. Cash flow generated from operations for the second quarter of 2015 was RMB 88.02 million. [Ph] In the second quarter, cash conversion cycle was negative 37 days compared to negative 52 days in the corresponding period last year. Capital expenditures for the second quarter of this year were RMB 11.9 million. Now, let me provide top-line guidance for the third quarter of 2015. As Donald mentioned earlier in the call, we are confident about the outlook for the third quarter of 2015 and expect the trend of accelerated growth in our top-line to continue, as our investments in regional expansion, product offering and marketing initiatives start to pay off. Tuniu currently expects to generate revenue in the range of RMB 2.6 billion to RMB 2.7 billion in the third quarter of 2015, representing a 100% to 105% year-over-year increase. Please note that this forecast reflects Tuniu’s current and preliminary view on the industry and its operations, which is subject to change. Thank you for listening. We are now ready for your questions. Operator?
Operator: The question-and-answer session of this conference call will start any moment. [Operator Instructions] The first question comes from Tian Hou of T.H. Capital. Please go ahead.
Tian Hou: Just one question, can you give us some kind of a guidance regarding your long-term gross margin? And we noticed that the gross margin is not necessarily improving I realize the company is still in expansion phase? And I just want to understand what the outlook for this item?
Conor Yang: This quarter gross margin of 4.7% even was down from a year ago but has improved from the first quarter of 4.1%. In this environment, we are expecting the very high growth with online leisure travel market and will continue to expand more market share in this area. So, we do not expect gross margin will improve too much this year from this level, will be gradually kind of in the ranging of this area. But in the longer term, as we continue to expand our direct procurement and also integrated on the vertical integration as we have done in this quarter that gross margin definitely will improve in the mid to long-term.
Tian Hou: Okay. Can I ask second or have to come back?
Conor Yang: Yes, please.
Tian Hou: So, for the revenue per trip for organized tour increased 25% year-on-year in second quarter. So, I wonder what’s the reason for the ASP change for this organized tour; so is that because the destination or something else? That’s the question.
Conor Yang: Actually because we have so many SKUs and by now, we have together organized tour and self-guided tour, we have over 1 million SKU by end of second quarter this year. So internally, from time to time, it depends on seasonality. For example this quarter, Europe has come back which become the number one destination among all the best places compared to a quarter ago but this is kind of seasonality. So, we have different. So, ASP is not of our -- it’s not our KPI because, it’s a combination of many, many different SKUs, as a result. And also the long trip versus short trip could grow one way or the other higher than each other, depends on the season. So it fluctuates on the ASP. We overall manage our traffic flow from our mobile and PC and try to convert that into order and convert that into the paying order. And these are how we manage the day to day business. And regarding to ASP, it’s actually resulting from so many different products we sold in -- and also in different seasons have fluctuated differently. So, it’s hard to predict ASP will go higher in next year or lower. And sometimes ASP also for example on the self-guided tour that our -- like a low cost tour type of self-guided tour has increased a lot. Therefore, you see the number of trips of self-guided tours has increased dramatically. But [indiscernible] or lower down the ASP due to the highest growth rate of the local tour of the self-guided tour.
Tian Hou: So last question is regarding the acquisition integration. So, previously you acquired two travel agencies, [Foreign language] and today you announced this Wuzhouxing acquisition. So first, I would like to ask what’s the philosophy behind those acquisitions and the second is the integration part. Can you give us some kind -- some of your strategy for integration?
Conor Yang: The two travel agencies we acquired when we announced in the first quarter that was really for the purpose of pending the Taiwan travel license or operating permit to Taiwan. But this one we just announced the Wuzhouxing, they are one of the larger wholesaler in China, especially in the Middle East and Africa areas they are one of the -- they are the largest from China as a wholesaler. So by acquiring the wholesaler travel agencies has shortened our whole supply chain. The theme is really we want to have more and more direct procurement, more and more integration on the vertical integration side to enhance margin eventually. So, we’ll continue to look into those better one wholesale packaged wholesalers as well as on the other side, eventually those local tour operators, if they are good ones so by acquiring these types of companies that can shorten the supply chain and eventually enhance our margin overall. In terms of integration that -- after we acquire, we actually have kind of regular operating meeting in terms of the business plan, in terms of the IT system, finance system, HR system. We all eventually will integrate together. And through our help, they can also expand their business directly through our aligned channel.
Operator: The next question comes from Evan Zhou of Credit Suisse. Please go ahead.
Evan Zhou: First question is regarding the free cash flow. I noticed our customer advances from customers and prepayments both increased pretty meaningfully. Just wondering what kind of trend that you see, actually net, net our free cash flow kind of improved a little bit. So, do you see that mainly come from our increasing bargain power on the AP side or is it more coming from -- on the use side that we kind of increased more, product type from that prepay products? That’s my first question.
Conor Yang: Overall that building our business model, we do have a good cash flow. Even though we have a loss this quarter, we still generated RMB 88 million on the cash flow from operating activities and the CapEx only RMB 11.5 million. So, pretty good free cash flow. But I quote this, it does fluctuate from time to time. So, this will continue in a way that we receive the money from -- we have advance from our customers as well as that we pay -- for the most part, pay our suppliers as the customers [ph] come back. Even though we grow -- we have a larger and larger scale, we want to treat our supplier fairly. We don’t want to take advantage of their paying them later. We believe that a win-win situation will create a better ecosystem in our business.
Evan Zhou: Second question is regarding the foreign exchange rate impact for our business as we have a pretty diversified exposure into various currencies both on the revenue and the probably on the -- more the cost side I’d probably say. And also in this quarter, we have that roughly 30 million FX gain. So, just wondering if you can give us more color on how we the recent currency movement may impact on members in different segments?
Conor Yang: On the FX side, we have overall exposure of payables probably around 8% of our overall payable that in foreign currency. And out of that more than half is in U.S dollar with others squaring around different currencies. So, the recent FX that RMB depreciation that has -- in terms of payable actually, the small impact even though we receive our money in RMB, we pay our supplier later. So, as I said that’s maybe 7% to 8% of our overall payments are in foreign currencies. And increased several percent differences have impact but not big impact. Going forward we have certain hedging activities for ourselves in terms of the payment. On the other side that this quarter we have 27 million gain on foreign exchange due to in the second quarter RMB appreciated a little bit and now kind of reversed back. Yes, there will be a certain impact on our deposit offshore in this month that will have more disclosure by the time we report third quarter. But in terms of operation the impact is quite minimal.
Operator: The next question comes from Henry Guo of Summit Research. Please go ahead.
Henry Guo: So, could you guys give the breakout for the GMV for different destinations or in particular Japan, Korea, Hong Kong, Taiwan, Europe and U.S.? And my second next question is what is the percentage of GMV from repeat customers?
Conor Yang: In terms of GMV, as I mentioned earlier that from different quarters, they will have different royalty. [Ph] So for this quarter the number one region actually from Europe, Europe this second quarter is about 15% of our total GMV. It has increased from like 8% in the first quarter. If you look at like a year ago, second quarter last year was 13%. So, this quarter is -- second quarter is 15%. The European business is growing very fast. And then follow -- in the foreign destination and followed by those vocational islands in aggregate is about 10% of our total GMV. And then third one will be like Japan and Korea. Even Korea, as Donald mentioned, Korea has MERS, but we are able to diverse these customers into other places. Japan is one of the favorite places among all. So Japan and Korea is 9% of our total GMV in this quarter and then followed Maldives which is about 8% of the total GMV and then Southeast Asia is 6% of GMV in this quarter. And in terms of the repeat customers.
Donald Yu: [Foreign Language]
Conor Yang: This quarter even though we have very high growth rate on the overall GMV revenue, the all customer contribution to overall GMV is around 37% to 38% which is quite similar to the first quarter. So, we keep up the pace of the rapid growth growing new customers. So, we think we’re pleased to see that. So the contribution about -- they contribute about 37% to 38% of the total GMV from old customers.
Operator: The next question comes from Amanda Chen of Morgan Stanley. Please go ahead.
Amanda Chen: I have three questions. [Technical Difficulty]
Operator: There seems to be a technical problem with Ms. Chen’s location, we’ll go to the next question. The next question comes from Wendy Huang of Macquarie. Please go ahead.
Wendy Huang: I just have two very simple questions. First, can you give us update on the usage of your 700 million cash in hand? And second, so, can you elaborate a little bit how are you going to work with JD in a more kind of in this level and/or so what kind of like improvement that you expect to see as you kind of operate the JD’s travel channel?
Conor Yang: We start -- officially launched channel on JD on August 18. Currently the result was pretty satisfactory and we’re happy to see that. Even though we stared with small number of SKU, we had to start with probably about 2,000 SKUs only but the result was quite satisfactory. And going forward, we’re going to offer more and more product to like -- for special product of ours in JD’s channel going forward. Regarding the usage of the cash we have, firstly, we believe that in this rapidly growing market, we do need to invest in many areas to grab the -- further grab the market share as we continue to invest in our branding, the regional expansion, the direct procurement as well as the technologies and to some extent investing in pricing our inventory that these all will be a good usage of our cash. But these are longer term investments; we’ll spend our cash on that and we believe they would eventually come back to contribute our overall business. And we also on the other side look at suitable acquisition targets. If there’s good company on the vertical integration, we’ll selectively acquire them.
Wendy Huang: And so besides those investments of the growth, would you consider to buy the companies on shares at the given the current market volatility?
Conor Yang: No decision has been made yet for this one.
Operator: The next question comes from Juan Lin of 86Research. Please go ahead.
Juan Lin: My first question is related to the direct procurement is whether you could specify the GMV and the revenue contributions from the direct procurement for this quarter. And then my second question is related to competitive environment. Tongcheng recently raised over RMB 6 billion. And are you expecting more price or market simplifications from Tongcheng and may for the lower your take rate going forward?
Conor Yang: For the direct procurement product, I think second quarter and we have about 25% of GMV generated from our direct procurement. I’m happy to see that and will continue to increase a percentage of direct procurement by the end of this year. Regarding Tongcheng. Donald will answer about that.
Donald Yu: [Foreign Language]
Conor Yang: Yes, regarding to Tongcheng, their product is quite different than ours regarding to the segment of the customers. They’re selling a lot of very low end packaged products and as well as they’re focusing on the tour attraction ticket. For Tuniu, there is certain quite standard [ph] that would definitely stick in to. And this below such standard, we don’t want to open product because that will cause a lot of complaints and damage to our reputation. So, we are very selective in terms of product. We target to -- even we target to mass market by -- good quality products that are acceptable by our customers. We will continue to invest in long term area for growth as Donald mentioned during his script in this call. And that will benefit us in the longer term.
Juan Lin: If I may have a follow-up question on the direct procurement, recently the big three airlines are gradually lowering their variable commission rate. And will that impact the take rate or margin of your direct procurement products going forward?
Conor Yang: Actually for our direct procurement product for airlines for example, the ticket was clearly as for the portion that used by for travel agencies that the price typically slower than the individual ticket. So, the recent airline changing of their commission policies has basically no impact to our business.
Operator: The next question comes from Natalie Wu of CICC. Please go ahead.
Unidentified Analyst: Hi, this is Sherrill [ph] from CICC on behalf of Natalie Wu. Thanks for taking my questions and congratulations for a good quarter. I have a question regarding the gross margin of self-guided trip. So, what is the difference on the gross margin of self-guided trips and the organized trip or is there anything that you could share with us?
Conor Yang: Overall the take rate for our organized tour is slightly up higher than self-guided tour and it has been like that. And I think that it would probably remain somewhat higher on the organized tours. Both products actually continue to increase more percentage for direct procurement and as we continue to increase our larger scale, we believe that overall blended take ratio increase in the mid to long term.
Unidentified Analyst: Actually I have another question; it’s more like a housekeeping question. Could you please share with us about your plans for the headcount, like how many additional accounts are you going to have in the second half of this year or maybe in the next year?
Conor Yang: By end of second quarter, total headcount for our company is over 4,300 people. A year ago, we had close to 19,000. So because among this, the biggest actually coming up from the regional expansion. So, if I compare to second quarter of the last year, the regional expansion -- or the regional service centers increased almost three four of the staff. That is really majority of the people increase coming from and of course as well as like as we continue to expand on various region, we have a more suppliers; we have more product procurement teams and also we do more direct procurement. Now we have increased quite a number of the product design and the procurement teams. But these are all like long term investments; eventually will be beneficial to our overall business. And we also continue to invest on research, R&D side. So, if you look at this area, these are the major area of our headcount increase. And summer time is the peak season of the year. So, we expect that second half that number of our people will continue to increase. But if we go into like next year, I think that the pace will more like in line or kind of slow -- kind of growth rate will be lower than the top-line growth rate. We’ll probably start to see that like next year. But this year, we’ll continue to invest in this area we just mentioned.
Operator: [Operator Instructions] And we do have Amanda Chen of Morgan Stanley. Your line was interrupted. Please go ahead.
Amanda Chen: I have three if I may. The first one is regarding the investment in Wuzhouxing. Could you please give us more details about the company such as GMV or any other operating metrics will be appreciated? And also, will this investment impact overall 2015 guidance, the guidance of top-line and also the margin and also the percentage of direct procurement?
Conor Yang: Earlier we mentioned about the direct procurement and other internal forecast, for this year we do not consider the acquisition. We’re all talking from our own organic growth. And this company, last year generated revenue about RMB 600 million for last year. And they are the largest wholesaler for packaging tour to Middle East and Africa. And other than that they are covering also many other regions -- the places, the destination including about 100 countries worldwide. So, we’re happy to see them onboard and we’ll continue to -- they continue to work closely with us to integrate their product into our system. Yes, that’s Wuzhouxing. So, these are not really part of our original budgeting for this year regarding the GMV and other operating metrics.
Amanda Chen: And the second question is about your financing services. Could you give us some updates about this new business and how the economic works and what’s over long-term KPI for this business?
Conor Yang: All right, a bit of pause for the finance division -- financing business in Tuniu that first of all is facing the customers that we provide payment by installation that many customers, they don’t have to pay at one time; they could pay us over the course of like 12 months or even longer. We help customers to apply for visa, so they have to provide a lot of personal information such as bank account, their bank deposit, their job certificate, their income statement to us. Therefore we have a very good understanding about our customer overall situation compared to other type of incumbents. So therefore that we think we can minimize our risk to the lowest expense. And the other side is to provide financing to our suppliers so that supply chain financing that from time to time our suppliers they will have -- most of them are kind of mid to small companies that they have financing need due to different seasonality that we’ll provide the funding to them and on the other side that we can get a good return out of it. So, these are very mutually beneficial. So, most -- area of focusing on these two sides. But nevertheless, it’s still in the very beginning stage that we see very good potential coming out from these areas as well as we continue to expand our GMV, our business. The opportunity will definitely increase on the financing side, financing business.
Amanda Chen: And the third one is, could you please share the GMV that comes from different tiering cities, how is it trend and how do you expect the trend in 2015?
Conor Yang: Are you referring to the departing city, right?
Amanda Chen: Yes.
Conor Yang: We’ll continue to see more and more GMV coming out from the newly opened regional service centers. For example the first tier city tend to be about 60 plus percent of the total GMV and by now it has dropped to about 50%. And the newly opened regional service center last year in the same period of time contributed about 3% and on the GMV that was last year but now this year it has contributed about 13%, so increased quite substantially. We’re happy to see that. And as we continue to expand into more regional service centers by end of this year, we’ll see more and more contributions from these areas.
Amanda Chen: So, I have a follow-on question. If I remember correctly, I think maybe last quarter where GMV from non-tier 1 city already reached 50%. So, this quarter it’s still 50% and we didn’t see significant improvement in that, right?
Conor Yang: It’s kind of like a, the first quarter was like slightly above 50, like 50 -- 2 more or less and then this quarter, so that’s dropped like 2 percentage points to about 50.
Operator: We are now approaching the end of the conference call. I will now turn the call over to Tuniu’s CFO, Connor Yang for closing remarks.
Conor Yang: Once again, thank you all for joining us today. Please don’t hesitate to contact, us if you have further questions. Thank you for your continued support and we look forward to speaking with you in the coming months. Bye, bye.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.